Operator: Ladies and gentlemen, welcome to the Wheels Up First Quarter 2023 Earnings Call. My name is Glen and I’ll be the operator for today’s call. [Operator Instructions] I will now hand over to your host, Keith Ferguson to begin. Keith, please go ahead.
Keith Ferguson: Thank you. This morning, we announced our first quarter financial results. The earnings release with its supporting tables, as well as a copy of today’s presentation can be found on our Investor Relations website at wheelsup.com/investors. Please refer to the slide with our disclaimer. Today’s presentation contains forward-looking statements based on our current forecast and expectations of future events. These statements should be considered estimates only and actual results may differ materially. During today’s call, we will refer to non-GAAP financial measures, as outlined by SEC guidelines. Unless otherwise noted, all income statement related financial measures will be non-GAAP other than revenue. Reconciliations of GAAP to non-GAAP financial measures and definitions of non-GAAP financial measures are found within the financial tables of our earnings release and appendix of today’s presentation. With that, I’d like to turn the call over to Wheels Up’s newly appointed Executive Chairman, Ravi Thakran.
Ravi Thakran: Thank you, Keith, and thanks to all of you for joining us today. It is a pleasure to be with you today. As a Board and management team, we are committed to making the choices necessary to improve this business and deliver for our customers, employees and shareholders. The Board is taking action to strengthen management’s ability to execute the strategy and achieve the goal of positive adjusted EBITDA in 2024. In my new role as Executive Chairman, I’ll be focused on working with management on the changes Todd will discuss and on hiring a strong operation driven CEO to unlock the scale and potential of this business. As we execute through this transition, I feel strongly suited to guide the strategic direction of Wheels Up. Having served on the company’s Board of Directors since 2021 and having served through my career in executive roles at L Capital and LVMH, I have focused on driving strong profitability from luxury brands with existing scale and brand strengths like Wheels Up. I’m also pleased that Todd Smith will serve as our Interim CEO who will lead the day-to-day execution at the company while we conduct the search for a full-time CEO. He’ll report to me and continue to serve as a Chief Financial Officer. Todd has been a tremendous asset to Wheels Up since joining the company last year. He has brought a significantly increased level of rigor and financial acumen to our team, and more importantly is the respected and strong leader across the organization. Prior to joining Wheels Up last year, Todd had 25 years of operational finance experience at GE, serving in a number of diverse industries, global businesses, and managing through numerous market cycles. As we continue to focus on achieving our profitability goals and improving our member programs to provide a better customer experience, Todd is absolutely the right person to guide the company through this transition period. I and the rest of the Board look forward to working closely with Todd Smith on this next chapter. Finally, I would like to thank our Founder, Kenny Dichter for his vision, leadership and hard work to make Wheels Up what it is today. The leading on-demand charter operator in the United States with a substantial revenue base and more than 12,000 loyal members and customers. These are material advantages as we embark on the next phase for the company and stakeholders. I look forward to continuing to work closely with Kenny as a passionate ambassador for Wheels Up and its mission. With that, let me turn over the call to my friend Kenny.
Kenny Dichter: Thank you, Ravi, and congratulations to you and Todd on your new roles. I founded Wheels Up because I saw a clear opportunity in the industry for a new approach to private aviation, a technology enhanced membership driven model, built on a shared sense of community around the efficiencies, the convenience, and the joys of private travel. Our passionate focus on the member continues to define Wheels Up today. In less than 10 years, we’ve grown from a small startup with a handful of King Air 350i to the largest on-demand charter provider in the United States with an iconic brand more than $1.5 billion in revenue, and a loyal and engaged base of more than 12,000 members and customers. With this strong foundation for future success, it is the perfect time to hand the baton to new leadership for the next stage of the relay. I would like to thank the Board for their support and guidance. I would like to thank our shareholders for their belief in us and our vision, and I’d like to thank our nearly 3,000 Wheels Up employees around the world who share a collective drive to make the extraordinary possible every day. And of course, I’d like to thank our members, without whom none of this would’ve been possible. I am looking forward to supporting the next stage of profitable growth and the exciting times ahead for Wheels Up. With that, I’ll hand the call over to Todd.
Todd Smith: Thanks, Kenny. It has been a true pleasure working with you. Wheels Up is here today because of your vision, marketing prowess and drive. And Ravi, I look forward to working with you as well in your new capacity. I am certain we can benefit from your commercial experience and leadership. Before I dive into the content of the call, I want to highlight that as a management team, we are committed to providing our members with exceptional service. As we continue to scale and mature, we expect to improve our service capability even further, increase our competitiveness and deliver improved profitability. We remain focused on achieving positive adjusted EBITDA in 2024 while strengthening our organization and improving the member experience. As Interim CEO, these are my focus areas and the places where we believe we can make meaningful gains to strengthen the company and set the stage for a strong and profitable future. For today’s call, we are prioritizing three topics that we think are most important for investors. Our business performance for the first quarter of 2023, our go forward plan, including significant changes to our member programs that strengthen our outlook for positive adjusted EBITDA in 2024, and changes to our management team that will support our execution. I will start with our first quarter performance and the components of total revenue. Membership revenue was up 5% year-over-year in line with expectations. Growth in membership revenue was impacted by our focused sales and marketing spending to target more profitable revenue that leverages network density in specific regions and at specific times. Flight revenue was down 2% year-over-year. A 12% year-over-year increase in flight revenue per live leg was offset by the overall decline in live flight legs. Without Air Partner, which reports on a net revenue basis, flight revenue per live flight leg was up 17% year-over-year. Aircraft management revenue was $64 million in the quarter, generally consistent with recent quarters and reflecting steady management fees and regular usage of the aircraft by their owners. Other revenue was $35 million up significantly year-over-year due to increased aircraft sales and the addition of Air Partner. Our adjusted contribution margin was 1.8% for the first quarter down sequentially and below our guidance of 3.5% to 4%. The sequential decline was due to lower demand in the first two months of the quarter that reduced our asset utilization and in part by the cleanup of prior period charges associated with the remediation efforts to address the control weaknesses we disclosed in our year-end filings. Turning to operating expenses. For the quarter, sales and marketing expenses were 6.5% of revenue down sequentially in dollars, primarily due to lower advertising and marketing spend. Technology and development expenses were 3.7% of revenue in the quarter flat sequentially in dollars and up 24% year-over-year. We continue to invest in technology to support our efficiency efforts and improve the member experience. General and administrative expenses were 5.7% of revenue down 16% sequentially in dollar terms as we continue to aggressively reduce our spending, including reducing our reliance on outside consultants. G&A costs were up year-over-year due primarily to the addition of Air Partner. Overall, OpEx was down by more than $7 million sequentially in the quarter in excess of our guidance that OpEx would be down slightly as we worked to offset the additional pressure and contribution margin. First quarter OpEx was down $12 million versus our run rate in the third quarter of last year. Adjusted EBITDA loss was $48.9 million for the quarter coming in toward the higher end of our $45 million to $50 million loss guidance range. Accelerated OpEx reductions largely offset weakness in adjusted contribution margin. Capital expenditures were $16.7 million in the quarter, including capitalized software of $8 million, well within our long-term target of mid-single digit percent of revenue. We ended the quarter with $363 million of cash and cash equivalent on our balance sheet, down sequentially and reflective of a normal seasonal decline in prepaid block sales, scheduled debt payments, one-time cash charges related to organizational restructuring, costs to build out our member operations center in Atlanta, and other working capital items. Prepaid blocks were $100 million for the quarter, reflecting continued commitments from our loyal customers. As many of you know, the seasonal nature of our prepaid block purchases means that cash inflows typically improve over the course of the year, and we expect a number of the cash outflows described earlier will not repeat in subsequent quarters. Let me now turn to our path to positive adjusted EBITDA in 2024, which has three key components. First, cost reductions, second, pricing initiatives and program changes, and third, operational efficiencies. Let me start with the first component I just mentioned, cost reductions. Earlier this year, we announced a first round of organizational restructuring that we expect will produce $30 million of annual headcount savings. Despite that, we are continuing to look aggressively for additional opportunities to reduce cost. Our better than expected progress on controlling OpEx cost in the first quarter is a testament to that effort. We remain confident that we can exit this year with OpEx in the low teens as a percentage of revenue, and in 2024 reach low double digits. We are managing to achieve that level regardless of our revenue profile. The next two components of our path to positive adjusted EBITDA relate to our adjusted contribution margin. Since our inception, the company’s goal has been to grow and invest in providing world class service to our customers. While we have consistently met our growth objectives, our historical one-size-fits product offering creates significant operational challenges that impact our ability to deliver our profitability goals, to truly realize the benefits of our scale and to improve our financial performance. Today, we announced a significant change to our member program that we expect will benefit members and customers while improving our operational efficiency and per flight profitability profile. The new program, which is reflective of a comprehensive analysis over the past few months and expected to go into effect at the end of June creates two primary service areas. One is east of the Mississippi, including parts of Texas, and the other is focused on the western region of the country, which is primarily states like California, Nevada, Arizona, Colorado, and Utah. We will further concentrate our King Air fleet, one of the largest in the industry in the East Coast region. We will continue to offer light mid and super mid options in both the east and west regions. These changes allow us to focus our efforts on the specific regions where we have a density advantage. Those areas account for approximately 80% of our customer flight revenue and our highest spending members. By focusing our efforts, we expect to lower our unit costs through improved asset utilization via more efficient aircraft and crew scheduling and fewer repositioning legs. In addition, a smaller operating region is anticipated to improve our maintenance economics. We expect our members will benefit in those regions from lower prices with our new program, including highly competitive capped rates, which provide certainty in peak periods for our customers versus others in the market. Our dynamic pricing capabilities allow customers to take advantage of lower rates during off peak periods. To be clear, we will continue to service all regions in the U.S., but for those regions outside of our primary service area, we will leverage the capability of our Air Partner business team, which for decades has delivered a world-class profitable business utilizing an asset light model. These out of region flights will be dynamically priced at competitive market rates. We expect the new program will significantly improve our flight margins and strengthens our confidence in our plan to deliver positive adjusted EBITDA in 2024. We are also enhancing our corporate go-to-market initiatives through a new industry leading program with Delta Air Lines in which Delta’s business customers will receive volume-based preferential rates on Wheels Up charters and memberships. This multimillion dollar two-year program reflects confidence that the expanded partnership will enable unmatched travel experiences on private and commercial travel for our mutual customers. Delta will continue to provide Wheels Up customers unique access and exclusive benefits such as earning SkyMiles, SkyBonus points, and Medallion Status. Let me now shift to what we are doing internally to improve our operations. We are now managing our fleets to make decisions on a more granular level that optimize the performance of each aircraft type across critical metrics such as pilot staffing, maintenance availability, spare parts inventory and demand shaping. This new structure has already resulted in improved processes that have reduced fuel burn and overtime through more efficient management of our operations. We are continuing to overhaul our internal and external maintenance operations that are expected to improve aircraft availability by nearly 10% in 2023. A well-functioning maintenance operation supports higher utility of our aircraft and significantly reduces the need for expensive recovery flights, which can negatively impact member experiences and our financials. Our focus on leveraging our network density should effectively add capacity through more efficient and increased utilization of our asset base. This allows us to review our fleet strategy to optimize the size and composition of our fleet to best capitalize on future customer demand. We are also working to simplify our business operations, which will improve our agility. Next week and ahead of schedule, we will consolidate the management of our operations to our new state-of-the-art member operations center, which combines multiple operating facilities from around the country into Atlanta, one of the world’s largest aviation hubs and the location of our partners at Delta. Our service delivery has already shown significant progress across multiple key metrics we track. Specifically, we reduced our controllable service interruption rate by half in the past year, resulting in 4,000 fewer customer trips impacted. That is the result of faster recoveries, real-time flight tracking, and improved maintenance operations. We believe our new MOC will lead to even further improvement via better automation and collaboration. We also continue to work toward the consolidation of our FAA operating certificates, which are expected to simplify our flight operations by harmonizing our procedures and scheduling across the entire company. We anticipate seeing incremental benefits over the course of the year with a larger impact in 2024. We believe that all these initiatives will help us exit this year at a high single digit adjusted contribution margin and achieve a mid-teens level in 2024. To help simplify our business and focus on executing on our core charter operations, we are evaluating the disposition of some of our non-core assets as part of a comprehensive strategic review. Separately, we also remain confident in the value of our fleet. Current transactions continue to support the aircraft appraisal values from our October debt financing. We believe the market value of our aircraft is well above the caring value on our books and the principle outstanding on our debt. To further support our program changes and continued focus on operational improvement, I’m pleased to introduce some key management additions and changes that will be integral in helping us achieve our goals. First, I’m pleased that Dave Holtz, a 30-year veteran of Delta Airlines is taking on expanded leadership responsibilities in our fleet operations. Dave brings valuable perspective on delivering efficient operations at scale and has recently helped develop and launch our forthcoming member operations center. Delta’s willingness to provide Dave in support of our operations is another example of the benefits and support we get from our strong partnership. In addition, as we announced last week, Dave Godsman will join as Chief Digital Officer. In this new role, he will focus on leveraging our technology investments and infrastructure to drive business results, further scale operations and help deliver an extraordinary member experience. Additionally, Kristen Lauria will join as our Chief Customer and Marketing Officer, where she will oversee the company’s brand and creative efforts as well as customer acquisition and customer experience. The skills and experiences of all three of these individuals complement our existing leadership team and align directly with our objectives of improving operations, leveraging technology to drive efficiency and ensuring a world-class customer experience. So with that, let me turn to our guidance. There are a number of items related to our pending program changes that could create a higher-than-normal degree of financial variability in the short-term as we move through the transitional stage of implementation. As a result of this and to a lesser degree, the current macro environment, we are suspending our total year 2023 guidance and will focus in the near-term on the second quarter outlook as well as the year-end 2023 exit rates. We expect second quarter revenue to come in at a range of $350 million to $360 million, reflecting a seasonal pickup and some revenue headwinds from our focus on profitable flying that leverages the density of our network. We expect second quarter adjusted contribution margin will come in the range of 3% to 4%, which balances lower short-term utilization with the migration to the new program model. We continue to expect to exit the year with high single-digit adjusted contribution margins. We are continuing to focus on additional opportunities to reduce our cost profile on top of the better-than-expected improvements in the first quarter and expect to end the year with OpEx as low teens as a percent of revenue. We expect second quarter adjusted EBITDA loss to be in the range of $39 million to $44 million, reflective of increased adjusted contribution margin and lower OpEx. We expect to report a GAAP net loss of between $95 million to $105 million for the second quarter. We expect capital spending for 2023 will be in line with what we have outlined as normal capital spending in the mid-single-digit range of revenue going forward. While there was a lot announced today, including some items that may contribute to short-term variability, we are resolved in our belief that these changes are positive steps that position Wheels Up to improve profitability and continue to service our members and customers at the highest quality possible. We are committed to making the decisions necessary to improve this business and deliver for our customers, employees and shareholders. Before I close, I want to take the opportunity to sincerely thank all of our employees who tirelessly work to fulfill our most important obligation, delivering a world-class flight experience for all of our members and customers. With that, let me open up the call for questions.
Operator: Thank you. [Operator Instructions] With our first question comes from Sheila Kahyaoglu from Jefferies. Sheila, your line is now open.
Sheila Kahyaoglu: Thank you, and good morning, everyone. And Kenny, thank you for all that you’ve done for the industry and Todd, thank you as well. So maybe if I could ask the first question on the revenue guidance for 2023. I know you suspended it, Todd, you gave us a lot to digest. But the down 15% to 19% organically in Q2, what’s driving that step down? Is it the changes in membership? If you could talk a little bit about that.
Todd Smith: Yes. Thanks, Sheila. I think it’s a combination of things. I think first and foremost, as we’ve been talking now for a couple of quarters, we’re trying to be really thoughtful about where we’re targeting growth. And I think as we go through these program changes, a lot of that is really the culmination of a lot of work we’ve done to think about how do we win, where we want to win and where we can best execute profitably and where do we think differently about some of the areas that we’ve pursued growth in the past – in the past that just may not be profitable. So a lot of it has to do with us being more targeted in terms of where we’re approaching and going after that growth. I would say beyond that, we certainly have to acknowledge that there is a macro impact here as well, and we are seeing a general slowdown. I think would be consistent across all of the industry in terms of a bit of the lighter demand across a number of our segments in the first half of this year. Certainly, we saw that in the first couple of months as we talked about on the fourth quarter call. And I think that’s really continued into March and early April. So, I think as we think about it, part macro, part more targeted and focused. And then I think part of the reason behind the suspension of the guidance is, we’re announcing a pretty significant change in terms of the program offering today. We’re incredibly excited about that in terms of what that does to better position Wheels Up to be successful. But at the same time, we know that as we go through this transitionary period, there’s probably a little bit more variability here than what we had typically see. So, we’re just trying to be thoughtful around letting a little bit of that play out over the coming weeks here that hopefully will help us firm up a more solid view as the year progresses.
Sheila Kahyaoglu: Got it. No, that makes sense. And then maybe on the partnership you have with Delta. Can you talk about your existing partnership and how this changes it? And how well business passengers be able to access Wheels Up?
Todd Smith: Yes. I mean it doesn’t really change the partnership. I think it enhances it. I mean we’re incredibly appreciative of the relationship we have with Delta. We get a number of benefits from them, not only in the commercial side and in support of our business and our revenue, but also just the benefit of being able to tap into their expertise, whether that be in operations and maintenance, et cetera. And Dave Holtz taking on expanded responsibilities here is a great sign for us. I mean, Dave’s got a wealth of experience from his long career at Delta. So being able to tap into that is a great example of where we can leverage them. I think this new arrangement that we announced today is just about how do we further the growth of our own corporate business and how do we team up with Delta to offer something that’s unique in the industry. Delta has a terrific business with a number of corporates in terms of commercial travel. Now we’re able to also offer those same customers the opportunity to access Wheels Up. And I think that combination is something that’s really unique in the market, gives their teams the competitive advantage and hopefully leads to more growth in the area that we’re really targeting, which is expanding our own corporate business.
Sheila Kahyaoglu: Thank you.
Operator: Thank you. Our next question comes from Josiah Choy from Baird. Josiah, your line is now open.
Josiah Choy: Hey thank you for taking my question. I guess a little bit piggyback on the prior question. But you noted that the prepaid blocks were down, calling out seasonality, but looking year-over-year, it was down. So could you provide a little bit more color on that? Are we seeing a signal that consumers are pulling back?
Todd Smith: Yes. So a couple of comments. I think if you look at the prepaid block sales of $100 million in the first quarter, that was lower on a year-over-year basis. But I think if you – if we look at it on a more normalized basis and put some context around last year, so if you look at the history of Q4 of 2021 and the first quarter of 2022, those were two of our highest block quarters ever. And I think that was very much reflective of what was going on in the macro at that point in time. Huge supply constraints. Customers were looking for opportunities to guarantee themselves access to that available supply. So we saw a really, really heavy block funding in those quarters. So if you look at the relationship on a more normalized level, so going back to first quarter of 2021, first quarter of 2020, I think you’d see a relationship there that’s much more consistent with what we saw this quarter, particularly relative to the relationship between new block inflows and the burn down of the existing deferred. So I think you have to have a little bit of that context. I think, again, we see a lot of attractiveness, customers willing to put blocks up for us. But I think what we’re really expecting now is that as we’ve announced these program changes, we can create an even more attractive offer for our customers and particularly in the areas where we think we can service them the best. And I think as we go out with these new offers, we will do so at competitive rates and competitive rule sets designed to put us in a position to win in those markets and regions where we have the most density and where we have the best opportunity to service our customers well and at a profitable level. So we’re really hopeful over the coming months as that offer makes its way and we go live and it makes its way into the market that that’s going to be very competitive and well received, and that will give us an opportunity to drive more blocks as customers come in, in the right places where we can be successful.
Josiah Choy: Got it. Thank you. That’s very helpful. And then shifting gears a little bit. I know you noted pursuing maybe some dispositions of certain noncore assets or businesses. Could you provide some color on what are those noncore businesses or what do they look like?
Todd Smith: Yes. I mean just given where we are in the process, I won’t give any specifics about exactly what those are, as I’m sure you can understand. I mean, obviously, we’re working through that with – in the appropriate way. But I would say this is really a continuation of some of the things that we’ve been talking about for now for a few quarters, right? How do we make sure that we’re prioritized and focused that we’re targeting the parts of our business that allow us to be the most successful and moving away from some things that are not as core or strategic to us. And I think we see this as kind of a natural complement to continuing that journey. The new program change is really a big step forward for us in terms of focusing on the areas where we want to concentrate and be successful. And we’ll move through an orderly process on those strategic – nonstrategic dispositions over the course of the coming months. But again, all about us being focused and targeted in terms of where we are going to position the efforts of the company, position the resources, et cetera. And again, that obviously those dispositions are helpful from us from a number of areas, not only in terms of the focus, but also proceeds and things of that nature.
Josiah Choy: Got it. Thank you very much. That’s all for me. Thank you for your time.
Todd Smith: Thank you.
Operator: Thank you. [Operator Instructions] We have our next question comes from Marvin Fong from BTIG. Marvin, your line is now open.
Marvin Fong: Good morning. Thanks for taking my questions. So my first question, I guess, I just want to better understand what you’re saying, you’re making these changes that you’re going to realize the operational efficiencies. And I think you indicated in the release that you expect to pass on some of the savings and lower prices and cap rates for flyers. Can you just kind of help us understand that balance, how much cost savings you expect to kind of pass on through pricing as opposed to let fall to the bottom line? I would think since we’re building on a path to EBITDA breakeven. I just wanted to understand why not maximize the flow through to the bottom line? Or do you feel that your current pricing in the market does need to come down a little?
Todd Smith: Yes. Thanks, Marvin. I mean, look, I think I would start by just saying, hey, we’ve been working on this for a number of months, right? So this has been a thoughtful piece of analysis that we’ve methodically worked through to understand how best to position ourselves for success. You heard me talk about the last quarter of the kind of the six-week special we ran on King Air’s that were focused on the East Coast only. We’re currently out in the market doing something similar to Light Jets now. Those test cases have really helped us validate in many ways, this theory that if we target the right segments with the right density, we can unlock real meaningful efficiency that gives us a much more profitable case in terms of the delivery model, but also is highly attractive to flyers, who are in those regions. And I think this is really a continuation of that work. So if you think about our model today, we’re effectively one size fits all in terms of a nationwide guarantee program. And I think that’s very difficult to operationally execute successfully, particularly in some of the lower density regions. So as we do the analysis and think about how we reposition our fleet, how we target a programmatic offering within those more dense corridors, we think that we see a number of benefits there, right? I think in many ways, if you think about the portion of our revenue today that wouldn’t be covered, it’s about 20% or so that would be in those regions that no longer would be covered on a programmatic basis. That is typically our lowest spend members on average and generally unprofitable routes for us. So we need an alternate delivery model. So as we move away from that, we focus on the regions where we can be most successful. We think that there’s efficiency improvements, and that’s probably anywhere from the four to seven point range depending on the individual fleet. We see improved utility that can be five to 10 points, again, based on the individual fleets. We see reduced maintenance cost as we rethink that footprint, in terms of where we need maintenance coverage and mobile service units and things of that nature. And then most importantly, it allows us to achieve improved levels of service and delivery for our members. So we will think and be thoughtful about how we think about those savings and what that translates to in terms of the bottom line. But at the same time, it gives us the opportunity to come out with a much more competitive offer to make sure we win in the areas where we want to win. And I think in the past, we’ve probably been adversely selected in some areas where we win in those regions that we’re less successful in and we lose in some of the higher-density corridors, and we’re really trying to change that. And then the final point I’d make is we’re going to continue to service all of the U.S. and all of this region. So what we’re really talking about is a differentiated delivery model. So we have a long legacy of delivering a programmatic offering, but we also have an air partner business that has demonstrated decades of success in an asset-light model, delivering for their customers in the on-demand model. And we’re going to leverage that capability and skill set to service the other regions of the country that will no longer be covered in this programmatic offering, and that will be done at a profitable level. So when we put that whole equation together, and I know there’s a lot of pieces to it, we’re really excited about what that can mean for us in terms of putting us on a much stronger footing in terms of our future profitability.
Marvin Fong: That’s terrific. Thanks for all that detail. I really appreciate it. And I guess my follow-up question, just wanted to better understand the active member count. I think the press release alluded that a lot of it – the core membership was up year-over-year. But just maybe at a higher level, can you kind of talk about the retention rates. And it sounds like we’re seeing the pressure coming from like the Connect customer. Should we continue, sort of that customer base to continue to see churn over the next few quarters as you implement these changes?
Todd Smith: Yes. I mean what I’d broadly say is our retention levels have remained strong. So I think for our existing members, our existing customers, – they’ve continued to stay with us at high levels, consistent around what we’ve had in the past. Core retention level is about 80%, 90% for those who have blocks, that’s remained relatively constant. I think we have seen some of the macro impact on the new membership levels. And I think, again, some of that’s reflective of there being a more reasonable demand supply balance in the market. So in the past where – unless you were part of a program and put up big blocks to guarantee availability, it may have been very difficult to get access to aircraft. Now there’s a bit more availability in the market. And I think there’s – we have to acknowledge there’s been some impact on those new membership levels. I think a lot of that also informs some of the changes we announced today. So how do we get out into the market with the most competitive offer possible and make sure that it’s focused in the areas where we want to win. And I think that, obviously, there will be a little bit of churn during this transitionary period. I mean, that was part of the – that variability is part of the reason that we’ve decided to pull back on the guidance for the time being. But again, I think as this gets implemented over the next few weeks, we’re really excited about what it positions us to do. And if that means that we’re a little smaller in terms of transitioning to a higher degree of profitability, then we’re fine with that because we think that’s the right answer for our business and our shareholders.
Marvin Fong: Great. Really appreciate that. And I just want to say good luck to Kenny, Ravi, Todd, as you all kind of move on to these evolving roles. So good luck.
Todd Smith: Thanks very much.
Operator: Thank you. [Operator Instructions] We have no further questions on the line.
Keith Ferguson: Thanks very much, everyone. We appreciate you joining us today and certainly reach out with any additional questions. We look forward to being in touch.
Operator: Thank you. Ladies and gentlemen, this concludes today’s call. Thank you for joining. You may now disconnect your lines.